Operator: Good morning, ladies and gentlemen, and welcome to the Caterpillar 4Q 2019 Analyst Conference. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Jennifer Driscoll. Ma'am, the floor is yours.
Jennifer Driscoll: Thank you, Paul. Good morning, everyone. Welcome to Caterpillar's fourth quarter earnings call.  Joining us today are Jim Umpleby, Chairman of the Board and CEO; Andrew Bonfield, CFO; and Kyle Epley, Vice President of our Global Finance Services division; and Rob Rengel, Senior IR Manager. Our call today expands on our earnings release which we issued earlier this morning. You'll find slides to accompany today's presentation along with the release in the Investors section of caterpillar.com, under Events & Presentations. For retail stats, look at our 8-K filed a few minutes after that. As shown on slide 2, any forward-looking statements we make today are subject to risks and uncertainty. We also make assumptions that could cause our actual results to be different than the information we discuss today. Please refer to our recent SEC filings and the forward-looking statements reminder in today's news release for details on factors that individually or combined could cause our actual results to vary materially from our forecasts. Let me remind you that Caterpillar has copyrighted this call. We prohibit use of any portion of it without our prior written approval. As previously indicated, today we're reporting adjusted profit per share in addition to our US GAAP results. Our adjusted profit per share for the fourth quarter excludes our pension and OPEB mark-to-market adjustment for the remeasurement of pension and other postemployment benefit plans. The adjustment was $0.65 per share in the fourth quarter or $0.64 per share for the fiscal year.  Our adjusted profit per share for the full year also excludes the $0.31 discrete tax items from the first quarter of 2019. In the 2018 fiscal year, our adjusted profit per share excludes restructuring cost in addition to both tax related and pension OPEB mark-to-market adjustments. our US GAAP-based guidance for 2020 profit per share includes estimated restructuring costs for the year and continues to exclude pension and OPEB mark-to-market impacts.  Now, let's turn to slide three and turn the call over to Jim for his perspective on 2019 and our outlook for 2020.
James Umpleby : Thanks, Jennifer. Good morning, everyone. Thank you for joining Caterpillar's fourth-quarter earnings call. I plan to cover three topics this morning. First, I'll summarize our fourth quarter and full-year 2019 results. I'll also provide an update on the progress of our enterprise strategy as well as some color on how the year ended versus our investor day targets. I'll finish with our expectations for 2020. I'm pleased with the way your team is executing, notwithstanding the difficult economic environment which led to a decline in sales to users during the fourth quarter. I'll describe this segment later in the call, but just to give you a brief overview. Sales to users for all three segments were lower than our expectations. In Resource Industries, we continue to see strong quoting activity in mining as most commodities remain at investable levels, but customers are being cautious due to global economic conditions. While we experienced a decline in mining sales in the fourth quarter, we continue to believe there will be a gradual recovery in our sales to mining customers. Our mining sales are lumpy, so there can be significant variation between quarters. Energy & Transportation was a mixed bag due to the diversity of our end markets. North American onshore oil and gas activity remained depressed as we expected. Both solar and rail had a solid fourth-quarter. In Construction Industries, end user demand has softened, particularly in North America. As our earnings guidance indicates, we see some slowing across all three primary segments. We are ready to respond quickly to positive or negative developments in our end markets. We're doing what we said we'd do at our Investor Day in May by achieving our financial targets, continuing to invest in services and expanded offerings, and returning cash more consistently to shareholders. Sales and revenues for the fourth quarter declined 8%, which is our assumption of down mid-single digits. Volume, primarily caused by changes in dealer inventory, drove a majority of the decline. Dealer inventory for the quarter decreased $700 million compared to an increase of $200 million in the prior year's quarter. End user demand, which we released this morning, was also softer than we anticipated, down about 4% versus our assumption of flat end user demand for the quarter. Price realization and currency were unfavorable for the quarter as well.  Our fourth-quarter operating profit decreased 2%, driven primarily by the lower volume. We increased our operating profit margin percent through disciplined cost control and stronger results from Financial Products. For the fourth quarter, adjusted profit per share was $2.63 compared with $2.55 in 2018.  Turning to slide four, sales and revenues for the full year declined about 2%, mainly driven by the movements in dealer inventory. Dealer inventory increased $800 million in 2019 versus an increase of $2.3 billion in 2018. End user demand increased about 2% for the year. The other two sales drivers – namely, favorable price realization and unfavorable currency – essentially offset each other. For the full year, operating profit was flat on nearly $1 billion lower sales and revenues. The volume reduction was offset by strong cost control. Favorable price realization more than offset manufacturing cost increases. Turning to profit per share, we ended 2019 at an adjusted profit per share of $11.06 compared with $11.22 for 2018. Now, I'll summarize our 2019 results versus our Investor Day targets and the progress we made this past year executing our strategy, as shown on slide 5. In operational excellence, we're pleased to report we achieved our best safety performance on record. We delivered a solid operating margin of 15.4% on $53.8 billion of sales and revenues. Our operating margin finished well within the target ranges we set at our investor day last May, which you may recall was an improvement of between 3 and 6 percentage points above the historical margins we delivered in the 2010 to 2016 period. Our free cash flow of $5.3 billion was also within our investor day target range. We returned $6.2 billion or about 115% of our 2019 free cash flow to shareholders in dividend and share repurchases. That includes the 20% dividend increase we announced at investor day which reflected our confidence in the company's ability to deliver improved cash flows through the cycles and our intention to return substantially all free cash flow to shareholders. We reduced our quarterly average diluted shares outstanding by about 9% since the first quarter of 2018.  Our services revenues increased 2% and were around $18 billion in 2019. We indicated during our Investor Day in May that our path to doubling services revenues to $28 billion from our 2016 baseline would not be linear and we continue to invest in services, including expanding our digital capabilities to meet this target by 2026. Please turn to slide 6. At the center of our strategy is profitable growth. We made good progress this year on all three elements of the strategy – operational excellence, expanded offerings and services. Beginning with operational excellence, as I mentioned earlier, we achieved our best safety performance on record. Yet one injury is one too many as we want all of our employees to go home safely every day. We're proactively managing our production levels and our lead times are now at targeted levels for the majority of our products. This allows us to respond more quickly to both positive or negative changes in demand. Shorter lead times also allow our dealers to carry less inventory, which helps dampen the overall impact of economic cycles. Turning to expanded offerings, one of our most successful areas in our GC line where we've launched six new models in 2019 or 11 new models to date. These new GC products, including excavators, articulated trucks, motor graders, wheel loaders and paving products, have broadened our product line to provide customers a full range of choices when determining the best machine for their various applications. In Energy & Transportation, the team launched large generator sets that burn lean methane created as a byproduct of the mining process. The CAT G3516C uses methane that could otherwise be vented to the atmosphere, thereby reducing the mine's greenhouse gas emissions. These engines are capable of burning relatively low concentrations of methane while reliably providing the engines full power at high efficiency. Customers appreciate the value of uncompromised engine performance over a wide range of gas quality. Finally, we reached some significant milestones with autonomous solutions in 2019. We continue to believe we're at a tipping point for adoption of autonomy in mining. In 2019, the number of mining trucks running CAT's autonomous solutions rose to 275, an increase of 48% over 2018. Our autonomous solutions are now working for seven customers across 11 sites on three continents. Some customers have reported productivity benefits of up to 30% and have also reported positive enhancements to safety. Our customers are focusing on improving performance across their sites, so we've expanded our automated solutions to include a broader portfolio of trucks, drills, tractors and underground mining products. We know many of you will be in Las Vegas at ConExpo in March and at MINExpo in September. We look forward to showcasing many of our new products and services at these exhibitions. Services are a very important element of our strategy. In 2019, one of our primary goals was to improve parts availability to minimize customers' downtime. We are helping dealers better forecast customer demand through advanced analytics which enables them to improve parts availability. Services are a key differentiator for many of our businesses, particularly when we help customers avoid unplanned downtime. In 2019, we achieved our target of connecting 1 million assets by year-end. Thanks to investments we've made during the past several years, we now have one of the largest fleets of connected assets in the industries we serve. Connected products, such as CAT and non-CAT assets, provide rich data, including operating hours, location and product health, enabling customers to better manage and plan their maintenance.  Having critical mass and connectivity enables us to work with customers in a very personalized way. Connecting assets also improves dealer capabilities, such as remote troubleshooting that can reduce technician time and provide increased customer uptime. We'll continue to connect new products coming out of our factories. Turning to slide 7. Today, we established 2020 profit per share guidance of $8.50 to $10 compared with our 2019 adjusted profit per share of $11.06. Our planning assumptions for machinery, energy and transportation are that dealers will reduce their inventories by about $1 billion to $1.5 billion; that end user demand will decline by about 4% to 9% compared to 2019; and that services sales will grow modestly. Global economic conditions are very fluid due to a variety of factors. We will continue to closely monitor our environment and will be ready to respond quickly to positive or negative changes in demand. Our 2020 outlook includes normal restructuring as well as a $200 million placeholder for strategic restructuring actions. We plan to address a small number of products that are not delivering sufficient OPACC and to ensure we're allocating resources to those areas with the best opportunity for future profitable growth. Meanwhile, we will continue to invest in services and expanded offerings to improve the value Caterpillar and our dealers provide to our customers. Andrew will provide more details on the outlook assumptions later in the call. Our cash flow remained strong. During 2019, we paid dividends of $2.1 billion. As we said at our 2019 Investor Day, we expect to increase our dividend by at least the high-single digits percent during 2020, continuing our heritage as a dividend aristocrat. We repurchased 4 billion of common stock in 2019. We expect continued strong cash flow in 2020 and share repurchases should be roughly similar to 2018 and 2019 levels. This is in line with our commitment to more consistently return substantially all free cash flow to shareholders. Turning to slide 8. In 2020, we continued to execute our strategy for profitable growth. In the area of expanded offerings, we plan to roll out five additional GC models this year as we continue to invest in new products. Within operational excellence, we are focused on improving our cost structure with a focus on back-office and procurement costs. Finally, in services, we will continue to invest in our digital capabilities, so we can fully leverage our connected assets and are investing in other areas such as customer-focused designs. Now, let me close by sharing our industry expectations for 2020 on slide 9. In Construction Industries, we expect slowing end user demand. In North America, while we expect stable spending on state and local infrastructure, residential and non-residential construction is expected to decline. Turning to Asia-Pacific. We expect our sales in China to be flat to down 5%. We are actively monitoring the coronavirus for any potential impact.  We expect EAME construction activity will be flat to slightly up, with growth in Europe slowing and Africa and the Middle East beginning to recover from low levels. The recovery in Latin America should continue, although from a low base, led by Brazil. As a result of these conditions, we expect that dealers, particularly in North America, will further reduce their inventories. For Resource Industries, we expect end user demand to be roughly flat. In non-residential construction, we anticipate lower 2020 end user demand. In mining, we expect mid-single digit growth for end user demand as quoting activity continues to be positive and commodity prices generally remain supportive of investment. Customers remain cautious and have more flexibility on order timing due to our improved lead times. We continue to believe there will be a gradual recovery in sales to mining customers. We anticipate Resource Industries sales will be softer in the first half of 2020 with possible upside in the second half as mining confidence improves.  As a result of these conditions, we expect dealers will further reduce their inventories.  Turning to Energy & Transportation, we expect modestly lower overall demand. In oil and gas, we expect end user demand to weaken in North America for well servicing, recip gas compression and drilling. Oil price volatility and capital discipline by our customers are both contributing factors.  Solar sales are expected to be flat to slightly up in 2020. Industrial demand is expected to decline modestly, mainly led by Europe. We expect power generation and transportation to grow modestly this year. With that, I will turn the call over to Andrew for a closer look at our financials.
Andrew Bonfield : Thank you, Jim. And good morning, everyone. I'll begin on slide 10 with total company results for the fourth quarter. I'll cover the segment results for both the quarter and the full year, then I'll walk you through our 2020 guidance and close with some comments on cash flow and capital deployment. In total, sales and revenues for the fourth quarter declined by 8% to $13.1 billion. Operating profit decreased less than sales and was down 2% to $1.9 billion. Adjusted profit per share for the quarter increased by 3% to $2.63, mostly reflecting the benefit of the lower-than-expected tax rate. Note that this year's adjusted profit per share results include restructuring expense, whilst last year's excludes it. Mark-to-market adjustments were similar in both periods, about $470 million in 2019 and about $500 million in 2018. As you see on slide 11, sales decreased by $1.2 billion in the quarter. This result was below our expectation of a mid-single digit decrease in sales in the quarter.  While price and currency was slightly unfavorable, the primary factor was a 7% decrease in volume. As we discussed in the third quarter, we expected dealers to reduce their inventories, partly due to our improved lead times which allow dealers to hold less inventory and partly due to uncertainty in the global economy, resulting from trade tensions and other factors. This morning, we released the quarter's retail sales data, which showed a decrease in retail sales to users of 4%. We had anticipated the retail sales across all three primary segments will be flat, but Construction Industry sales to users declined by 3%, Resource Industries declined by 10% and Energy & Transportation sales to users declined by 3%.  This weaker-than-expected end user demand and that whilst we cut back our shipments to dealers, dealer inventories came down by $200 million less than we expected or around $700 million in the quarter. This $700 million reduction in dealer inventory compares to a $200 million increase in dealer inventories in the fourth quarter of 2019. The movement in dealer inventories together with the reduction in end user demand explain the volume decline in the quarter. Order backlog was weaker at the end of the year, down $900 million across the segments. I know many of you focus on backlog. However, I want to remind you that except for our direct businesses, mainly solar and rail, the backlog represents dealer demand. That means it takes into account dealers' view of what inventory they need to hold in addition to their expectations of end user demand.  We view our retail sales data as a better indicator of demand over backlog. And whilst there is a lag, we believe retail sales data better represents underlying customer behavior.  In addition to sales to users, we have other indicators of customer health. For example, we look at past use of CAT Financial which had actually improved in the quarter. That said, we saw a small uptick in repossessions of equipment in units and in dollars. Auction prices and used prices are seeing downward pressure. These factors, plus the lower retail sales, gives us a very mixed picture. We will, therefore, stay prepared for an acceleration or deceleration in demand. Moving to slide 12, operating profit for the fourth quarter fell by 2% to $1.85 billion. These figures are on a like-for-like basis as both years include restructuring expense.. Let me walk you through the changes in operating profit before discussing the changes in operating margin. Volume is the largest reason for the decline in operating profit. Price was also negative due to geographic mix and programs restarted to stimulate demand. Favorable material and freight costs were offset by adverse warranty expenses which continue to impact us. As we said in October, we have some targeted product quality issues which we're continuing to address.  Favorable short-term compensation expense and better cost control had a positive impact on operating profit in the fourth quarter.  Finally, Financial Products had a strong quarter too. These tailwinds more than offset the negative impact from operating margin I mentioned a moment ago. This meant that the operating margin improved by 100 basis points quarter-over-quarter. Now, let me discuss the individual segments results for the fourth quarter and full year. First on slide 13. Fourth quarter sales of Energy & Transportation declined by 5%, driven by weakness in oil and gas and lower intersegment sales, slowing demand for reciprocating engines in North America used for power gas compression applications, and lower turbine project deliveries contributed to an 11% decrease in oil and gas sales. We saw 5% increase in transportation as marine sales in the EAME improved. Power generation and industrial sales also improved slightly in the quarter.  The segment's first quarter profit increased by 8%, driven by lower short-term incentive expense and lower manufacturing costs, which more than offset the impact of the volume decline. Segment operating margin improved by 240 basis points to 19.6%. For the year, Energy & Transportation sales decreased by 3%, reflecting slower sales in oil and gas and lower intersegment sales. However, segment profit remained about flat in 2019 as the lower sales volume was offset by reduced short-term incentive expense. The segment margin improved to 17.7%, an increase of 40 basis points versus 2018. Now turning to slide 14. For Construction Industries, sales decreased by 12% in fourth quarter due to lower volume. Dealers in North America and the EAME carried on adjusting their inventories. We continue to see Latin American sales increase of a low base, while Asia-Pacific Pacific remained about flat.  Within Asia-Pacific, unfavorable price was mostly offset by higher volumes in a few countries. Sales in China rose in the fourth quarter, driven by dealers' desires to build inventory ahead of an earlier Chinese New Year. The segment's fourth-quarter profit margin fell by 170 basis points to 13.1%. The volume decrease and lower price realization were partially offset by savings from material costs and short-term incentive expense.  The unfavorable price realization reflected changes in geographic mix that we had anticipated, including reductions in dealer inventory in North America and some programs were put in place to stimulate end user demand. On a full-year basis, Construction Industries declined by 3%. Margin expansion of 17.4%, a healthy level, yet a decrease of 60 basis points versus 2019. The decline was driven by the impacts of volume, manufacturing inefficiencies and an unfavorable mix of products, partially offset by favorable price realization. Changing to slide 15. Resource Industries sales decreased by 14% in the fourth quarter due to reductions in dealer inventories and lower end user demand. Dealers' decreased inventories in the fourth quarter of this year after increasing their inventories in the same period of 2018.  The inventory reductions taken in the fourth quarter were primary related to non-residential construction to better align end-to-end user demand.  Turning to mining, we've seen continue disciplined CapEx spend by miners and have experienced longer delays between deal signings and the placement of orders. Lower volume was the primary driver of the 340 basis point decrease in the segment's profit margin to 10.9% for the quarter.  For the full year, Resource Industries sales were about flat. Profit margin improved by 30 basis points to 15.9% as stable price realization offset the impact of increased manufacturing costs, including high warranty expense. Moving to slide, we were pleased with the results from Financial Products, which increased its profitability by $181 million in the fourth quarter versus a challenging quarter a year ago. A lower allowance rate in 2019 was the main driver of the improvement. Past dues were down at the end of 2019 as well. The Financial Product segment's profit rose by $327 million for the full year to $832 million. Free cash flow for the quarter remained strong at $1.9 billion. We saw a significant reduction in our inventory levels in the fourth quarter as we reduce production levels in our plants. For the full year, free cash flow was $5.3 billion excluding the discretionary pension contribution made in the third quarter.  Now, I'll talk about the outlook on slide 17. I will share the full-year outlook, a few key planning assumptions and some observations on phasing in 2020.  We anticipate profit per share of $8.50 to $10 in 2020 compared with an adjusted $11.06 in 2019. The range reflects current uncertainty in the global economy, which is causing customers to delay or defer purchases of large capital goods.  We no longer give sales guidance, but I'd like to share a few of our planning assumptions which we have used to derive our profit per share guidance for 2020.  First, we're assuming lower end user demand of between 4% and 9%. We expect ME&T services revenues to increase modestly as we continue our journey towards $28 billion in 2026. The full-year guidance we put together also assumes that pricing is about flat and that dealers will decrease our inventories by between $1 billion and $1.5 billion in 2020.  Keep in mind that dealers are independent entities and control their own inventories. Given the slowdown in customer demand and the increased availability of product due to lower lead times, we do expect dealers will reduce their inventory levels further. This reduction is expected to be led by Construction Industries, but will also impact Resource Industries. I'll talk a little bit more on how we expect dealer buying patterns to impact our phasing in 2020 in a moment.  As Jim has said, we will make sure production is scaled to meet demand and we're ready to respond to signals from the market, positively or negatively.  The top and bottom ends of the profit range roughly correspond to the top and bottom of the ranges for declines in sales to users and dealer inventories.  We expect material costs to decline this year, including the impact of lower steel prices, procurement savings and lower freight. We also expect the increases in warranty costs to moderate in 2020. We're committed to doing all we can to maintain a competitive and flexible cost structure and we're tightly controlling discretionary spending. As part of that, we're moving toward the outsourcing of some of our back office functions, which is expected to produce run rate savings beginning in the fall. We're also working to improve our procurement processes as a way to reduce direct and indirect spending. These changes are not immediate as we realize benefits after new contracts begin and better prices flow through into inventory.  Last year, restructuring expense was $236 million, slightly above our expectation. This year, we expect normalized level of restructuring expense.  In addition, we're looking at taking strategic restructuring actions relating to certain products that are not realizing sufficient OPACC. We put a $200 million placeholder for that in our guide and we'll keep you updated through the year as we gain more certainty around the actual costs. Keep in mind that we also expect a headwind from normalized incentive compensation expense in 2020.  We're committed to delivering our Investor Day targets of improving operating margins by between 3 percentage points and 6 percentage points throughout the cycle compared with our historical performance in 2010 to 2016. We believe that our 2020 plan will enable us to deliver this, while at the same time continuing to invest in the greatest opportunities to drive long-term profitable growth.  Based on the lower tax rate in 2019, we now expect the effective tax rate in 2020 to be around 25%.  As you build your quarterly earnings models for 2020, I want to remind you of a few things that may impact our normal seasonable patterns. Overall, dealers increased their inventory by $1.8 billion in the first half of 2019. This occurred principally in Construction Industries and Resource Industries.  We expect a modest increase in dealer inventory in Construction Industries in the first quarter ahead of the normal selling season. That will be worked down by the end of the first half. In Resource Industries, dealer inventories rose in the first half of 2019, but we expect a modest reduction in the first half of 2020. Energy & Transportation has a different seasonable pattern with sales and revenues in solar and rail being more backend loaded. We expect oil and gas sales to be impacted in the first half as we had a significant backlog of orders at the beginning of 2019, which is different from the current situation. As a reminder, the reduced volume also impacts leverage, so that will be a factor in the first half of the year. Moving on cash flow and capital structure on slide 18. Working capital improved in the fourth quarter as we reduce the levels of inventory held by the company.  We expect working capital to be neutral to positive in 2020. The reductions in Caterpillar inventory, together with an expected lower payout of short-term incentive compensation, should help offset the lower operating profit. Recall that the 2019 payout was against the results for 2018, which was a record year. We also do not anticipate any US pension contributions in 2020. CapEx in 2019 was $1.1 billion. We expect CapEx in 2020 to be around $1.2 billion.  Our commitment at the Investor Day was to improve our free cash flow by between $1 billion and $2 billion through the cycle versus our historical performance in 2010 to 2016. This, together with the strong cash position, which was $8.3 billion at year-end, has enabled us to increase the quarterly dividend by 20% this year and be in the market more consistently for share repurchases. As Jim noted, we've returned $6.2 billion of cash to shareholders in 2019 through dividends and share buybacks. We remain committed to returning substantially all of our free cash flow to shareholders through the cycles. As we look ahead, we expect to increase the dividend by high-single digits in 2020 and the next three years after that. And based on our expected strong cash flow, to repurchase a similar level of shares in 2020 as we have done in 2018 and 2019. So, finally, let's turn to slide 19 and recap today's key points. 2019 sales and revenues declined by 2% to $53.8 billion. Operating profit was down 2% and profit per share totaled $10.74 or $11.06 on an adjusted basis. We've established a 2020 outlook range of $8.50 to $10 profit per share based on expectations for end user demand to decline between 4% and 9%. Our top line modeling assumption reflects $1 billion to $1.5 billion dollars of lower revenue from dealers, further reducing their inventory levels. We're keeping a close eye on production, so we can respond quickly. We're working on the competitiveness of our cost structure and our operating and execution models remains at the center of everything we do.  We will continue to invest in services and expanded offerings. Our overall financial position remains strong and we expect strong cash flow in 2020 as well.  We remain committed to our strategy of profitable growth and deployment of capital back to shareholders through a growing dividend and consistent share repurchases. With that, I'll hand the call back to Jennifer.
Jennifer Driscoll : Thank you, Andrew. We will now move to the Q&A portion of the call. In order to include questions from more of our covering analyst, we ask that you please limit yourself to a single question. If you have a follow-up question, we'd invite you to reenter the queue. Paul, please begin the Q&A.
Operator: Certainly. [Operator Instructions]. And the first question is coming from Ann Duignan of JP Morgan Securities. Ann, your line is live.
Ann Duignan: Hi. Good morning, everybody. So many questions. I don't know how to pick one, but I think I will focus on pricing. If you could just expand on your flat pricing guidance for 2020, where are you seeing pricing improvement versus pricing degradation? And then, you said you increased your marketing programs in Q4 to stimulate demand, but it doesn't look like it's happened. So, if you could just talk about pricing across the businesses and across the regions, I'd appreciate it. Thank you.
Andrew Bonfield: Yeah. Ann, thank you. It's Andrew. So, couple of factors within Q4. As I mentioned, one, geographic mix was a factor as well. So, obviously, if you think about the way we price, particularly North America as a stronger pricing region, and so that geographic mix, given the reduction in inventory came through the price line. We expect that to continue as we do reduce dealer inventory through 2020. So, that will have an impact on pricing, particularly as you look at mix through the year. So, probably actually first half pricing will be a little bit weaker than we see, expect it for the for the second half. We have put modest price increases through. Obviously, we need to see how much of that sticks again and how much you have to put back into programs. Yes, your point about, we didn't see much demand being stimulated, yes, because we did see a reduction in the sales to users in the fourth quarter. We believe that had we not actually put that pricing behind, they may have actually a little bit worse than that. So, that was part of the programs being put in place.
Ann Duignan: I'm sorry. Didn't fully understand your North America answer. You said pricing is stronger in North America or price reductions are greater in North America?
Andrew Bonfield: No. It's the geographic mix. So, as you go through, if you look what's in our pricing line, it includes changes in geographic mix. We base it on a rate per unit. And, obviously, North American units tend to have a higher price because they are higher stakes than prices across the rest of the world. So, therefore, you do tend to then see a negative price variance coming through as a result of that with lower new North American sales. 
Ann Duignan: And just so I'm clear, China pricing is down year-over-year. Is that the expectation going forward? And is it contained to China?
Andrew Bonfield: I don't think we've said anything about China pricing. We're talking about China sales. We said we expect China sales to be down flat to slightly down in 2020. We haven't talked about pricing by territory or market.
Ann Duignan: Okay. In the interest of time, I'll get back in queue, but I would like some clarification offline. Thank you.
Operator: Thank you. And the next question is coming from Joe O'Dea of Vertical Research Partners. Joe, your line is live.
Joe O'Dea: Good morning. I wanted to ask about retail sales. When we look at the trends, it looks like a rather sharp sequential slowing from 3Q into 4Q. And you commented that it was a bigger step down than you expected. But just in terms of how you interpret those trends and based on conversations you're having with customers and dealers, the degree to which you're able to parse out how much of that is a bit of a spend freeze at the end of the year, the degree to which you have any insight based on January versus you're noting kind of December demand levels as something that we should be extrapolating going forward?
James Umpleby: Good morning, Joe. So, really have to look at it by our various industry. There's no kind of one answer that covers all of those. We talked about the fact that, in mining, that business can be quite lumpy and that can be reflected in both our sales and our retail stats as well. Activity in mining continues to be strong. A lot a discussions with customers, lots of quotes, but our customers are being cautious, as we mentioned earlier. But we do expect that slow gradual increase to occur in mining and we're expecting a stronger six months than – last six months of the year be stronger than the first six.  In oil and gas, we do anticipate the depressed market conditions in North American onshore production to continue in well servicing, recip gas compression and drilling. We do expect that to continue.  CI is a bit of a mixed bag. Again, we talked about our expectations there for CI. I really don't have anything to add on top of that.
Joe O'Dea: Okay, thank you.
Operator: Thank you. And the next question is coming from Ross Gilardi of Bank of America Merrill Lynch. Ross, your line is live.
Ross Gilardi: Yeah. Thanks, guys. Good morning.
Jennifer Driscoll: Good morning.
James Umpleby: Good morning, Ross.
Ross Gilardi: Jim, you know this oil and gas business that Caterpillar has a bit better than anybody. And I am just wondering how your spare parts and service for E&T, both upstream recips and turbines, how they are behaving? Were they stable in the fourth quarter? And are you expecting them to be stable within your outlook? Clearly, the new equipment outlook is very soft, but solar has traditionally been able to weather a lot of these downturns. And I'm wondering if you expect the parts and service components of your oil and gas business to remain resilient, particularly in an oversupplied natural gas market.
James Umpleby: Yeah. Starting with solar, as we indicated, solar had a solid fourth quarter both on the OE and on the service side. And we do expect their service sales going forward to remain resilient. That's been proved many, many times. So, we do expect that to be the case. We had mentioned a number of times over the last year, there's a bit of a pent-up demand for oil and gas parts for rebuilds that resulted in increased sales in 2017 and 2018. So, with the pressure on North American oil and gas, that business will remain challenged through 2020.
Ross Gilardi: Okay, thank you.
Operator: Thank you. And the next question is coming from Jerry Revich from Goldman Sachs. Jerry, your line is live.
Jerry Revich: Hi. Good morning, everyone. 
James Umpleby: Good morning, Jerry.
Jerry Revich: I wonder if you could just expand on your decremental margin assumptions. It looks like you're embedding 35% decrementals give or take in the 2020 outlook. And when we look at your decremental in the last sales downturn, they were generally in the 20% range. So, I'm just wondering if you'd just bridge that as that could give yourselves room to execute in a challenging environment. But can you just share the pieces just to bridge us between the historical decremental margin performance versus the target for 2020?
Andrew Bonfield: Great question, Jerry. It's Andrew. Thank you very much. This is exactly why we don't talk about incrementals and decrementals anymore. What we have done, obviously, through the last downturn, the company took out a significant amount of structural costs. And as we've gone through the last couple of years where we've seen an upcycle, we have not put that cost back in the business. What that meant, obviously, is margins improve, absolute margins improve over time, which is why we gave the Investor Day targets of improving margins by 3% to 6% against historical performance.  On the way down, because we are not – we haven't put a lot of structural costs back in, there's not a lot of structural cost to cut, so you will see, obviously, higher deleverage as you go down.  Also, because we're expecting this relatively to be a pause rather than some fundamental change in the market, we are continuing to invest in both services and in R&D, particularly for NPI, new product introductions. That is important for us because that drives long-term growth. So, we maintain the flexibility. How we are managing it? We're managing against those margin targets. We look at the absolute margin to make sure we stay within that 3% to 6% range against the level of sales and revenues we're expecting next year and we do believe the plan we've got does do that. 
Jerry Revich: And, Andrew, can you just expand maybe a little bit on the variable cost structure part of that discussion because more variable cost structure would suggest lower incremental and decremental margin. So, I appreciate the comment on – we have less restructuring opportunities now, but maybe you can expand on that point because that would sound like it would reduce the cyclicality and operating leverage.
Andrew Bonfield: Yeah. So, obviously, volume is going to have a major impact next year as we go through. Obviously, that is the biggest single factor. And, obviously, operating leverage is a factor in the margin.  With regards to the other part, obviously, we're expecting pricing to be about flat next year. We are expecting some favorability in material cost, as I mentioned, particularly around steel, and also because of some programs we've put in place. How much of that feeds through into margins next year will depend on how quickly we get those programs through out of inventory and actually into sales. We're also start expecting lower freight next year. Freight costs have been high for the last couple of years, and partly because of, obviously, trying to meet end user demand. But now with lead times being in a better place, we don't expect as much premium freight to occur.
Jerry Revich: Thank you.
James Umpleby: And maybe just to expand on that answer just a bit, one of the things that Andrew mentioned earlier is we're really paying a lot of attention to end user demand. Our dealers are independent businesses, but we're working with them to ensure that we don't have too much dealer inventory. And in the past, I'd argue that some of our cyclicality has been exacerbated by movements in dealer inventory. So, by shortening our lead times, having a dealer inventory that is appropriate for market demand, we believe that we will have a dampening effect on our cyclicality, which is part of what we're trying to accomplish. 
Jerry Revich: Thank you.
Operator: Thank you. And the next question is coming from Seth Weber of RBC Capital Markets. Seth, your line is live.
Seth Weber: Hey. Good morning. 
James Umpleby: Good morning, Seth.
Seth Weber: I wanted to ask about the China construction market. I know you mentioned your expectations for the market to be kind of flat to down. CAT's been picking up share there recently over the last few months. Can you speak to your expectations for CAT, particularly what's been driving the market share gains? Have you sort of changed tact with some of your marketing programs? Is there new product that's kind of gaining good acceptance? And can you just talk broadly about your expectations relative to the market? Thanks.
James Umpleby: Yeah. What we indicated, I believe, is that we expect our sales to be flat to slightly down in 2020. We talked earlier about the fact that we're continually introducing new products as part of our expanded offering strategies. GC products and certainly a big part of that target customer audience is in China. We're continuing to build out our dealer network, continue to build out our footprint there, along with connected assets and all the other things we're doing. We believe that we're well-positioned to compete in China moving forward.
Seth Weber: Okay, sorry. So, CAT is flat to down. Is that better than what you're seeing for the market then? I thought that was a market commentary?
James Umpleby: I believe it's roughly similar.
Seth Weber: Roughly similar. Okay. Thank you very much.
James Umpleby: Thank you.
Operator: Thank you. And the next question is coming from David Raso of Evercore ISI. David, your line is live.
David Raso: Hi. Thank you. My question is about EPS guidance, but can I go about it related to the dealer inventory swings. So, the inventory reduction this year you're targeting, midpoints, $1.25 billion, but the headwind for you is actually greater on a year-over-year basis, right, because the inventory went up $700 million last year. So, we're looking at a $1.95 billion drag year-over-year. But the way you spoke to the inventory sequentially, it appeared – and correct me if I'm wrong – almost all of that $1.95 billion, a very large majority of it, that year-over-year drag is really concentrated in the first half of the year, is that correct? 
Andrew Bonfield: David, it's Andrew. Yes, that is correct.
David Raso: So, when I think about the EPS cadence, pricing, a little bit of a struggle to start the year. The big inventory swing for the full year is really focused on the first half. Sort of set you up for the answer that I'm just trying to figure out then. Normally, the first quarter, the last, whatever, 20 years, the median, it's up a little bit from the fourth quarter. Your fourth quarter was on the high side. So, is it fair to say that's not the case this year? We start low in the first half. The first quarter is below the 4Q and then it climbs from there? I'm just trying to get, again, a sense of how much is the…
Andrew Bonfield: Part of the reason why I tried to talk a little bit about the phasing for next year is, yes, do not expect the historic trends to prevail. As you know, normally, first quarter is a relatively strong quarter. Always a strong quarter from a margin perspective as we build inventory heading into selling season. And then, obviously, the second half is slightly weaker than the first half, but that is the normal pattern, both from a sales and revenue and also from a profitability perspective.  Your assumptions you're making are fairly accurate based on what we're seeing. We do expect dealer inventory to have an impact on the first half. As I said, CI will see some build in Q1, but that should be broadly flat by Q2. RI will see a steady decline through the first half of the year versus a build last year. So, that is the likely outcome as we move. And so, yes, you can't just – you won't be able to just simply be able to use the seasonal trends as a plug in your model, I'm afraid.
David Raso: And just to be clear, Jim, last year, obviously, the inventory reduction was a little disappointing. The management's commitment to take care of this inventory in the first half of the year, I just want to be clear, I know they're independent dealers, but are we looking to take out year-over-year swing, completely avoid the normal seasonal build, you're not looking to build inventory at all in the first half of the year and that's that big year-over-year drag? I'm just making sure, from the prior, let's say, disappointments on the inventory the last couple of quarters, is there a firm commitment to address this in the first half and not let this linger into the back half?
Andrew Bonfield: Yeah. David, we work with our dealers, but they are managing their businesses themselves. So, we can't manage their inventory for them. However, based on our expectations on order patterns we're seeing from dealers, we do expect that they will be working hard to reduce their inventory in the first half of the year. We can't make a 100% commitment, but, obviously, we do expect the vast majority of that to happen in the first half.
James Umpleby: And one of the reasons that our fourth-quarter inventory didn't decline as much as we anticipated is because end user sales were lower than our expectations. So, obviously, end user sales has an impact on inventory in the quarter.
David Raso: I appreciate it. Thank you so much.
Operator: Thank you. [Operator Instructions]. Your next question is coming from Rob Wertheimer of Melius Research. Ron, You may ask your question.
Rob Wertheimer: Thank you. Let's see if it works. Just a quick clarification. On North American construction, you have residential and non-residential construction to decline. Is that industry dollar spent on construction or is that construction equipment for the industry?  And if I can, my question is really – the reduction in lead time is a fantastic thing for CAT and reduction in volatility would be a great thing for CAT. Any color around just the work you've done to achieve that and if dealers are starting to recognize that in wanting to hold structurally lower inventory? Thanks.
Andrew Bonfield: With regards to residential/non-residential, construction equipment relating to that is what we're expecting to see the decline.
Rob Wertheimer: Perfect.
Andrew Bonfield: And then, as regards the inventory, let me hand that back to Jim.
James Umpleby: Yeah. In terms of lead times, we were working on this lean journey for a long time. And, obviously, if we can find ways to reduce our lead times, it helps us both in the up cycle to respond more quickly to increases in changes in demand and also allows us to cut back more quickly, so we don't have an overhang, which help to dampen the impact of the cycles. Again, we've got our total team focused on reducing cycle times, all part of that lean journey and really trying to synchronize across the value chain. And I think we're doing a better job of that than we have in the past. But it's a never-ending journey.
Rob Wertheimer: Okay. Thanks, Jim.
Operator: Thank you. And the next question is coming from Ashish Gupta from Stephens. Ashish, your line is live. 
Ashish Gupta: Great. Thanks so much. Just wondering if you could expand on your GC comments related to China. Maybe you can give us a sense of what went right or where you're looking for incremental improvement in 2020? I guess I'm just referring to sort of the market share losses through most of the year, although it did improve in the end. Just kind of trying to think about how much of a contributor that could be in 2020 and beyond, where the successes were and where you could see some incremental improvements?
James Umpleby: Yeah. Whether it's China or any other part of the world, the competitive landscape is continually changing as we introduce new products, our competitors introduce new products. So, that's nothing new. And so, again, you look anywhere in the world over time, we see changes in the competitive situation. We have demonstrated our ability to successfully compete in China. We've localized – we have a local leadership team. We have dozens of factories. We have localized our supply chain and we continue to build out our dealer network and increase services and connectivity and introduce new products. So, again, competitive situation in China or anywhere in the world is fluid, but we're very committed to be successful in that market and I believe it demonstrated we can be successful competitively.
Operator: Thank you. And the next question is coming from Jamie Cook from Credit Suisse Securities. Jamie, your line is live.
Jamie Cook: Hi. Good morning. A clarification, if you could just elaborate. You talked about the normal restructuring of $200 million and then the – I'm sorry, normal restructuring which I assume is $200 million; and then the strategic stuff you're reviewing, another $200 million. I'm just trying to understand what's in the EPS guide that you're not adjusting out. And then, I guess, my question is, you talked about reviewing products. You talked about some cost-cutting, realizing it's not what we had – there's not the opportunity in prior cycles. But as we get to the back half of the year, I'm just trying to understand are there any savings associated with these measures or does that play more into 2021? Thanks.
Andrew Bonfield: Okay. Jamie, so we have said we would – this year we expect – beginning of the year, we said that, for 2019, that we expect the restructuring cost now to normalize at between $100 million and $200 million a year. We were slightly above that. You will have heard me say that we were $236 million for 2019. We expect a normal level in 2020. So, between the $100 million to $200 million is the sort of normal level we would have.  The $200 million, actually, yes, you're correct. It does relate to some products which are delivering OPACC. We've got to go through with doing the evaluation of the actions we can do. And at the moment, our guidance does not take into account that there would be any savings associated with these measures in 2020. We think more likely that will be in 2021 anyway.
Jamie Cook: And is there any way to think about savings associated with that or just too early? And to confirm, repurchase is in your EPS guide, right?
Andrew Bonfield: Yeah. Repurchases in the EPS guide. And, yes, we will keep you updated on this because, I think, as the charges come through, we'll pick it up and then we'll talk to you about what we're expecting from a benefit perspective.
James Umpleby: Jamie, to add in there, we're also continuing to look at ways to reduce our structural cost, particularly in the areas of back office, procurement and all the rest. And we do expect, again, over time, to have improved performance as a result of that. Again, relatively limited impact in 2020. But we're really trying to take the right steps in 2020 to set ourselves up for the future with a lower structural cost.
Jamie Cook: Thank you. That's helpful.
James Umpleby: Thank you.
Operator: Thank you. And your final question is coming from Stephen Volkmann from Jefferies & Company. Stephen, your line is live.
Stephen Volkmann: Great. Hi. Good morning, guys. 
James Umpleby: Hi, Steve.
Stephen Volkmann: Andrew, thank you for all the comments relative to sort of the EPS cadence. But I'm wondering, Jim, if I can ask how you're thinking about the markets. You talked about this earlier. I think you sort of characterized it as a pause. So, the down 4% to 9% in end user demand, is that sort of significantly lower in the first half? And then, maybe closer to breakeven in the second half? Or do you think this kind of runs its course and the fourth quarter run rate could actually be kind of back to growth again? Or are you just sort of predicting kind of steady continuous weakness in end user demand?
James Umpleby: I think you really have to look at it by segment. So, in Resource Industries, and mining in particular, we believe that the second half will be stronger than the first half. Again, we feel there is a slow gradual recovery occurring in mining. Our customers are cautious. But just based on the quoting activity and the amount of that that's going on, we do anticipate that there'll be a stronger last half of the year than first half. In construction, don't anticipate any dramatic changes first half to second half. Oil and gas, onshore, we expect that to remain depressed throughout the year. Solar and rail typically have strong fourth quarters. It's that way almost every year. And we have no reason to think that wouldn't happen again.
Stephen Volkmann: Great. I appreciate. Thanks, guys.
James Umpleby: Thank you.
Jennifer Driscoll: Okay. With that, let me turn it back to Jim for his closing remarks. 
James Umpleby: Thank you all for joining the call and appreciate your questions. CAT faced several challenges in 2019 and I'm very proud of our team of employees, how they met those challenges with determination. They've allowed us to meet our operating margin targets that we set on our Investor Day and do the other things we said we would do.  And we continue to advance our strategy for profitable growth. We are investing significantly in services, expanded offerings and working on that operational excellence. Record safety year, shortening lead times, working on the cost structure.  And certainly, 2020 will bring its own set of challenges and opportunities, but we remain focused on delivering additional value to our customers and our shareholders, and we'll continue to execute our strategy for profitable growth. Thanks for your time.
Jennifer Driscoll: Thanks, Jim. Thanks everybody who joined us for our call today. If you missed any portion of the call, you can catch it by replay online later this morning. We will post a transcript on the Investor Relations site within one business day.  If you have any follow-up questions, please reach out to Rob or me. Rob is at rengel_rob@cat.com. I'm at driscoll_jennifer@cat.com. And the general phone number in investor relations is +1-309-675-4549. And let me ask Paul to conclude our call.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.